Operator: Good morning and welcome to Fairfax’s 2017 First Quarter Results Conference Call. Your lines have been placed in a listen-only mode. After the presentation, we will conduct a question-and-answer session. [Operator Instructions] Today’s conference is being recorded. If you have any objections, you may disconnect at this time. Your host for today’s call is Prem Watsa, with opening remarks from Eric Salsberg. Mr. Salsberg, please begin.
Eric Salsberg: Yes, thank you. Good morning and welcome to our call to discuss Fairfax’s 2017 first quarter results. This call may include forward-looking statements. Actual results may differ perhaps materially from those contained in such forward-looking statements as a result of a variety of uncertainties and risk factors, the most foreseeable of which are set out under risk factors in our Base Shelf prospectus, which has been filed with Canadian Securities regulators and is available on SEDAR. I’ll now turn the call over to our Chairman and CEO, Prem Watsa.
Prem Watsa: Good morning, ladies and gentlemen. Welcome to Fairfax’s first quarter conference call. I plan to give you some of the highlights and then as pass it on to Dave Bonham, our CFO for additional financial details. In the first quarter of 2017, book value per share increased 1.1% adjusted for the $10 per share common dividend paid in the first quarter of 2017. Our insurance companies continue to have an excellent first quarter with a combined ratio of 94.6% with excellent reserving and significant underwriting profits of $107 million. All of our major insurance companies again had combined ratios of less than 100% with Zenith at 80.2%, OdysseyRe at 90.4%, Fairfax Asia at 93.6%. First quarter operating income were very strong at $209 million, offset by net investment losses in the quarter of $18 million, which rose primarily as a result of net gains on equities of $39 million more than offset by losses on funds, due to the negative effect of credit spreads and fluctuations on CPI linked derivatives. As shown on Page 31 of our quarterly report, we have realized gains on our investment portfolio of 230 million offset by unrealized losses of 248 million. All-in-all we had net earnings of approximately $83 million. Insurance and reinsurance business premium volume was up in the first quarter by 12%, primarily due to Northbridge and Odyssey and the acquisition of Bryte Insurance, AMAG and Fairfirst Insurance with a combined ratio, as I said earlier for our insurance and reinsurance operations was 94.6%. Excluding these acquisitions, our premium was up 6.8%. At the subsidiary level, very quickly, the change in net premium written and the combined ratios in the first quarter was as follows: OdysseyRe with a combined ratio of 90.4%, premiums up 14.8%, Crum & Forsterin 99.5%, premiums up 2.3%, Northbridge in Canadian dollars 98.9%, with the premiums up 14.1%, Zenith 80.2% with premiums up 1.3%. Fairfax Asia because of the AMAG and Fairfirst acquisition premiums were up 54% with a combined ratio of 93.6%, and Brit combined ratio of 96.8%. The premiums were down slightly at 2.7%. Net investment losses of 18 billion in the first quarter consisted of the following. Please refer to Page 2 of our press release. Net gains on equity exposures of 39 million resulted from net gains of 222 million on long equities and a 183 million net loss on individuals short positions. We realized losses of 26 million on equities, principally from unwinding of sharp equity holdings in the first quarter of 2017, partially offset by the realized gains on our long equity of 76 million. Also we had losses of 16 million on our bond portfolio, primarily due to the negative impact of credit spreads and losses on our CPI linked derivatives of 15 million. The loss in the other category consisted of losses on [indiscernible] offset by favorable foreign exchange movements. As we have mentioned in our annual meetings, annual reports, quarterly calls, and I mentioned again with IFRS accounting where stocks and bonds are recorded at market and subject to mark-to-market gains the losses quarterly and annual income will fluctuate and investment results will only make sense over the long-term. As I said at our eighth annual meeting, we just had last week, we continue to hold our CPI linked derivatives with a notional value of 111 billion, which produced unrealized losses of 15 million in the first quarter. If some of the unexpected risk come to pass, the CPI linked derivatives could become very valuable. So, we will hold them for some time. When you review our statements, please remember that when we own more than 20% of a company, we equity account; and when we own above 50%, we consolidate. So that mark-to-market gains in these companies are not reflected in our results. As you will see on Page 11 of our quarterly report, the fair values of our investments in associates is 4.4 billion versus a carrying value of 3.4 billion and unrealized gain of approximately 1 billion not on our balance sheet. In January, the company purchased 12.3 million subordinate voting shares of Fairfax, India for 145 million at 11.75 per share in a private placement. Through that private placement and a public bought deal, Fairfax, India raised proceeds of approximately 494 million net of commissions and expenses. As we said at our AGM, we are very excited about the long-term opportunity in India. In February, the company purchased 30 million multiple holdings shares of newly incorporated Fairfax, Africa in a private placement, and 2.5 million subordinate voting shares of Fairfax, Africa as part of the company's IPO for our total consideration of 325 billion at $10 a share. Through private placement and the IPO, Fairfax, Africa raised gross proceeds of 506 million, net proceeds after commissions of 493 million. Fairfax's multiple holding shares and subordinate holding shares represent 98.8% of the holding rights, and 64.2% of the equity interest in Fairfax, Africa at the close of the private placement and the IPO. Fairfax, Africa was established with the support of Fairfax to invest in public and private equity and debt instruments of African businesses or other businesses where customers and suppliers are business primarily conducted in or dependent on Africa. Also in March, Fairfax exercised its option to increase the cash consideration component of its offer to Allied World, our shareholders by $18 out of a possible interest of $30 per share. As a result, the $54 per share of our Allied World will consist of $23 of cash per share payable by Fairfax of $5 per share cash special dividend payable by Allied World, so that’s a total cash of 23 plus 5, $28 and $26 per share payable in Fairfax stock. As I said at our annual meeting, and on our fourth quarter conference call, we believe the new US administration’s proposed policies of reducing corporate taxes to 15% rolling back regulation and business like Obamacare, Dodd-Frank, and a myriad of other regulations and significant infrastructure spending has the potential of boosting economic growth significantly in the United States. Already sentiment among small businesses has improved dramatically and animal spirits in the United States are being revived. When the US economy, which is approximately 20 trillion, does well much of the world does well. To us this means our concerns of China or Europe precipitating a worldwide recession depression have been significantly reduced, but not delaminated. Also the trade policies of the US could precipitate a collapse in world trade, so these risks will be very much monitored by us, but we think the new administration's policies may make this a stock picker's market and one in which we have thrived over the past 31 years. In the past few years, as I have said earlier, we have played defense, we are expecting to play offerings, but always with a long term value oriented investment for loss re. We will continue to pick good companies, which provide significant downside protection and potential appreciation over the long-term. As you know, we have invested about 500 million in bonds with warrants recently and Chorus, Mosaic Capital, [indiscernible]. We get about 5% to 6% from the bonds plus upside through the warrants. As of March 31, 2017, we have 12 billion in cash and short-term investments in our portfolios, which is 42% of our total investment portfolios to take advantage of opportunities that come our way. As a result in the short-term, our investment income will be reduced. Now, I’d like to turn it to Dave, our CFO so he can give you some more information on the underlying financials. Dave?
Dave Bonham: Thank you, Prem. For the first quarter of 2017 Fairfax has reported net earnings of $83 million and that’s $3.03 per share on a fully diluted basis, and that compared to the first quarter of 2016 when we reported a net loss of $51 million or [indiscernible] profit or our reinsurance operations decreased slightly to 107 million at a 95% combined ratio, compared to underwriting profit of 122 million at a 93% combined ratio in the first quarter of 2016. Our combined ratio benefited from net favorable prior year reserve development in the first quarter of 103 million translating into 5.2 combined ratio points. And that was an increase compared to net favorable development of 86 million in the first quarter of 2016, which represented 4.8 combined ratio points. Current period catastrophe losses in the first quarter all of which were attritional totaled 39 million or two combined ratio points and that was just slightly higher than cat losses in the first quarter of 2016, which totaled 31 million or 1.8 combined ratio points. Now turning to our operating company results, and we can start with OdysseyRe. In the first quarter of 2017, OdysseyRe reported and underwriting profit of $48 million, and a combined ratio of 90.4%. Slightly higher than underwriting profit of 45 million and a combined ratio of 90.3% in the same period last year. Cat losses in the first quarter of 2017, again all attritional totaled 29 million translated into 5.9 combined ratio points that was quite comparable to $27 million of cat losses last year that translated into 5.8 combined ratio points. Net favorable prior year reserve development, principally related to property and cat loss reserves was 36 million or seven combined ratio points in the first quarter of 2017, and again about the same as the first quarter of 2016, when OdysseyRe reported 35 million or 8 combined ratio points of net favorable development. OdysseyRe’s net premium written increased 14.8% to $555 million in the first quarter, principally reflecting increases in the North America division related to property and casualty reinsurance writings. In the Euro Asia division across most of those lines of business and in its US insurance and London market divisions, partially offset by some decreases in the Latin America division. Moving on to Crum & Forster, Crum & Forster reported somewhat lower underwriting profit of $2 million at a combined ratio of 99.5% in the first quarter, that compared to underwriting profit of $ 10 million at a combined ratio of 98% in the first quarter 2016. There is nominal net prior year reserve development in no significant current period catastrophe losses in the first quarters of 2017 or 2016 at Crum & Forster. Crum & Forster's net premiums written increased by 2% in the first quarter and that principally reflected growth and accident health, construction and contracting, and commercial transportation lines of business. Zenith reported an underwriting profit in the first quarter of 37 million at a combined ratio of 80%, compared to underwriting profit of 31 million and a combined ratio of 83% in the first quarter of 2016. The change in 2017 reflected higher net favorable prior year reserve development, 34 million in the first quarter of 2017 or 2018 combined ratio points that reflected a net favorable emergence on accident years in 2014 through 2016. So that net favorable development of this year compared to 24 million of net favorable last year, which was 13 combined ratio points. Net premiums written by Zenith were 332 million in the first quarter, increased 1% year-over-year, reflecting an increase in exposure, partially offset by modest price decreases. Brit reported an underwriting profit of $11 million and a combined ratio of 97% in the first quarter of 2017, compared to an underwriting profit of 14 million and a combined ratio of 96% in the first quarter of 2016. There is no net favorable prior year reserve development and nominal current period catastrophe losses in the first quarters of 2017 and 2016. Net premiums written of $394 million decreased by 2.7% year-over-year, reflecting the unfavorable impact of foreign exchange, freight reductions, partially offset by the positive impact of underwriting initiatives that they have launched in prior years. Northbridge reported an underwriting profit of 3 million and a combined ratio of 99% in both the first quarters of 2017 and 2016. Stable underwriting profit reflected the impact of an increase in non-cat loss experience related to the current accident year, particularly in commercial property and personal lines and that was mostly offset by higher net premiums earned and increased favorable prior year reserve development. Net favorable prior year reserve development in Northbridge in the first quarter was $10 million or 4.3 combined ratio points and that reflected better-than-expected emergence on personal and commercial automobile and casualty lines of business. Northbridge reported a nominal amount of net adverse development last year in 2016 and that was related to their mandatory participation in the Canadian motor pool. In Canadian dollar terms, net premiums written by Northbridge increased by 14% in the first quarter of 2017 and that reflected increased renewals in new business and modest price increases across the group. Fairfax, Asia reported an underwriting profit of $5 million and a higher combined ratio of 94% in the first quarter of 2017, and that underwriting profit was somewhat lower than the $12 million and a combined ratio of 77% that was reported in the first quarter of 2016. Net premiums written at Fairfax, Asia increased by 54% in the first quarter, but that primarily reflected the consolidation of AMAG in Indonesia, Fairfirst Insurance in Sri Lanka, both of these acquired in October 2016 and the change in premium also reflected increased premium retention first capital, partially offset by lower writings at first capital in marine and whole property lines of business. Moving to the insurance and reinsurance other segment, it produced an underwriting profit of $1 million and a combined ratio of 99.5% in the first quarter, compared to an underwriting profit of $8 million and a combined ratio of 93% in the same period last year. Lower underwriting profit principally reflected slightly lower net favorable prior year reserve development, increased current period catastrophe losses, and the consolidation of the underwriting loss of Bryte Insurance. Excluding the $86 million and net premiums written by Bryte Insurance, which was acquired in December 2016, net premiums written by this segment increased by 10.7% in the first quarter, reflecting growth at advent, primarily in its accident health line of business, at Fairfax, Brazil, primarily in the charity line of business, and also reflecting favorable impact of foreign exchange. At run-off, run-off had an operating loss of $40 million in the first quarter 2017 and that was an increase when compared to the operating loss of $15 million in the same period last year. Mostly attributable to losses on claims in the first quarter of 2017 and that would principally reflect it net unfavorable reserve development related to other health hazards and asbestos loss reserves. In terms of our consolidated interest and dividend income, it decreased from 153 million in the first quarter of 2016, 128 million in the first quarter of 2017, reflecting the impact of sales and municipal bonds late in 2016, and the first quarter of 2017. Fairfax recorded an income tax provision of $25 million, at an effective tax rate of just under 25%. And then moving to our financial position, our debt to total capital, our total debt to total capital ratio decreased to 27.7% at March 31, 2017 from 28.7% in December 31, 2016 that reflected the repayment of Fairfax India's term loan and repurchases of just under $18 million principal amount of our senior notes pursuant to our net debt tender offer. We ended the first quarter of 2017 with an investment portfolio, which included holding company cash and investments of 28.4 billion and that was comparable to where it was at the end of December 31, 2016. So now, I’ll pass it back over to you Prem.
Prem Watsa: Thank you very much Dave. Now we are happy to answer your questions. Please give us your name, your company name, and try to limit your questions to only one so that it is fair to everyone on the call. So Laura we're ready for the questions.
Operator: Certainly. [Operator Instructions] Our first question is from Paul Holden of CIBC. Your line is now open.
Paul Holden: Thank you, good morning.
Prem Watsa: Hi, good morning Paul.
Paul Holden: Two questions for you on the investment portfolio. First, maybe you can provide a little more color for us on the short positions on individual securities, not necessarily asking going to each of these individual securities, but just giving us a general favor of what kind of themes or securities you are going short on?
Prem Watsa: Paul, we don't comment on individual securities of course, as you know. But broadly speaking we have been reducing our short positions, but there are certain individual names where we think it is a good match for our long positions and so we continue to maintain them, but we have refrained from mentioning any names of the past.
Paul Holden: Right. So these are more - so you’re suggesting more kind of fair trades against some long positions?
Prem Watsa: No. They are not fair trades particularly, but they are ones where we think there is some potential for the stock prices coming down.
Paul Holden: Okay, got it. And then second question with respect to the S&P 500 call options, is there any sense of expiry dates on those that you can give us?
Prem Watsa: Yes. I think Dave the expiry date is July on the option, Dave, how long ago was that?
Dave Bonham: Yes, we bought those in July 2016 and they will expire July 2017.
Prem Watsa: So, we bought at about six months ago and that’s sort of a one-year call option. 
Paul Holden: Okay and is that typical like it’s third Friday of the month or…?
Dave Bonham: I believe it is.
Paul Holden: Okay, perfect. That's all the questions I had. Thank you.
Prem Watsa: Thank you very much Paul. Next question Laura.
Operator: Thank you. Our next question is from Mark Dwelle of RBC Capital Markets. Your line is now open.
Mark Dwelle: Yes, good morning, a couple of questions. Related to each of the acquisitions, the Allied World and AIG Properties, I was just hoping you could provide a little update on what the timing looks like and the progress to date in getting all the necessarily closing arrangements and so forth?
Dave Bonham: Thank you, Mark. So, on the AIG acquisitions they are taking place as we speak and so you have got the - you got a whole bunch of countries in Latin America and Eastern Europe, and so they go country by country Mark, and I would say by the middle of the year we will have many of them done and then later on in the year for a few more. The big one for us of course is, and the integration of those operations and to Fairfax system is going very well. We're very happy with the way its progressing and we expect it to continue and get done and we are very excited about these operations and these five countries in Latin America and think about six in Eastern Europe. That will be joining us. And we have provided you good disclosure on the operations in our annual report and elsewhere. On Allied World of course is that’s a transformative acquisition. We have mentioned that before we had Scott Carmilani at our AGM. Scott spoke to our shareholders and we are very excited about closing that. And Mark that’s, the date is yet to be fixed for the shareholder of for tender offer, or approval and that will be fixed soon and then we will go to close it. Always of course subject to regulatory approval, and so we think by the end of June, early in the third quarter somewhat there is when Allied will close and we continue to be very excited to get that and then move forward with Scott and his management team.
Mark Dwelle: Okay. Thank you for those updates. The second question I had somewhat less related was, just related to the large cash holdings within the overall investment portfolio, I know you’ve described in the past about being patient and deploying that and so forth, I guess I would have thought though that we would have seen at least some of that cash back, put back to work. Can you just provide some updated thoughts on what you are looking at there and how you're thinking about putting that capital barrier or that cash back to work.
Dave Bonham: So the cash position is significant as you know, but we have sold our treasury bond positions, our long bond positions and we have sold - predominantly sold our California bond positions and made a very large gain. And we have, started reducing our Muni position. So the cash comes from all of those activities. We think interest rates broadly speaking Mark have bought them. So we are not looking at having long bonds and separately we think credit spreads are still tight, so you have to be careful about reaching for yield. So given those constraints we are investing the monies in fixed income. There is many, through Allied World we’ve accessed many fixed income managers and that they have used in the past. We are reviewing them and seeing if it makes sense for us to continue with them and which ones we should continue, what strategies we should use our brand [indiscernible] and others are looking at that. And so what we - and in this environment where we think interest rates have bottomed and could go up, and credit spreads are narrow. You have to be very careful about where you invest the money. So we are taking our time and investing the money appropriately. In the meantime, I mentioned the four investments, where we are getting four companies that we have put invested 500 million US approximately, 5% or 6% for 5 years to 7 years in secured type bonds, plus a warrant that provides equity exposures. So, like a convertible, but splitting them into two. And they are very excited about those investments. We have made many of them in Canada, all four in Canada. We think Canada we get the first call. In the United States, we're working on that same happening in the middle market and the United States and we are making progress on that front. So, the idea - the markets are not cheap as you know, so the markets are quite high. We think the eight economic environment has changed and some of the things that we talked about corporate tax rate being reduced to 15% that’s already been mentioned a couple of days ago, infrastructure spending business regulation, if all of the us things takes place as I have said in my prepared remarks that the business environment could change pretty significantly in the United States. So in that environment we are trying to identify good companies, good track records, which we have done all over the world by the way. And we expect to invest that money. But always looking at downside protection, that’s why we like these bonds, plus warrant structure. We have done that of course in many, many places and so we expect to do that in the United States also. So that’s how we are investing it Mark, slowly but carefully.
Mark Dwelle: Okay. Thank you. I appreciate the update.
Prem Watsa: Thank you very much Mark. Next question Laura.
Operator: Thank you. Our next question is from Tom MacKinnon of BMO Capital. Your line is now open.
Tom MacKinnon: Yes, good morning Prem. Thanks very much.
Prem Watsa : Hi, good morning Tom.
Tom MacKinnon: Question is just with respect to the unrealized losses you had in your bond portfolio, would you be able to highlight kind of which bucket was the contributor of that?
Prem Watsa: Yes, it is just basically very simply the credit spreads widening a little, you know, and we have sold now California bonds. You know from cost we have made a lot of money on it, but on a quarter-by-quarter basis of course you have fluctuations and we have some Indian bonds where the spreads widen some and so - and it is and that’s also the way the accounting work is done, when you unwind realized gains, when you have realized gains, when you unwind them in that table it goes through the unrealized. Dave you want to just expand on that may be?
Dave Bonham: So Tom in that column change in unrealized, when we sell a bond where we have an inception to date realized gain that will go through the change in unrealized as a negative and then be a positive in the realized gain column. So some of what you are seeing in that change in unrealized is just the reversing of the inception to date gain on positions that we’ve sold.
Tom MacKinnon: Right, so the fact that there is no realized gains doesn't mean you held your position throughout the quarters, it is just the way the accounting would work?
Dave Bonham: Yes that’s right Tom.
Prem Watsa : When you realize a gain Tom, you know you are realizing a again in a particular quarter, but again might have been in an unrealized position over the last few years. So the accounting for that is how the statement works that table because you are realizing it in the first quarter, but of course it’s reflected in unrealized and 16 and 15, so you have two take that out and that’s how the table works. So it is worth Tom spending a few minutes with Dave later on, just to understand that. It’s towards just understanding how the mechanics work.
Tom MacKinnon: Okay, thanks for that.
Operator: Thank you.
Prem Watsa: Laura, next question please.
Operator: Thank you, sir. Our next question is from Lewis Fernandez, Private Investor. Your line is now open.
Unidentified Analyst : Hello good morning. Thanks for taking my question.
Prem Watsa: Sure. Good morning Lewis.
Unidentified Analyst : All right. My question is regarding Allied World. I know the deal is pretty much done and its ready to execute, but I just wanted to understand a little better your thoughts on why issue so much equity to buy it? I mean all you need is around 2.3 billion or something and given all the cash reserves that you currently have. I just wanted to understand why is there so much talk right now, especially given the prize et cetera?
Prem Watsa: Yes, Lewis the cash that we have, significant cash positions is all in our insurance companies and in holding company the cash positions with marketable securities is approximately $1 billion, plus or minus and we always want to keep that there. And so the way to look at how we look at, so we could, if we bought Allied World, we would either have to pass on it, if we didn't want to issue stock or buy it, and we bought it with the idea that everything - all the metrics like premiums investment portfolios common shareholders’ equity went up by a third and our shares outstanding went by 21%. And I said specifically in this year's annual report that we have now built a company that is very significant in the United States, and a worldwide network. So, as we produce income operating income and investment gains over time and I’ll remind you that we’ve cumulatively over our time period have produced gains of $10 billion plus, but as we do that in the future, we will look at reducing their shares outstanding. We’ve got a very good insurance operation, we are not expecting to add anything significant now because we’ve already got that, we are writing about $13 billion, $14 billion of premium ones Allied closes. We have got a network across the world, of course we will add a little here and there in the network, but the network is already there built, and now it is going to be - that a lot of advantages that will be harvested in the years to come and we will, our first focus will be buying back our stock because we think the intrinsic value of our company is a lot higher than where it is.
Unidentified Analyst : Alright. Thank you. And do you have a metric, or - regarding the share repurchases on the price to book value or?
Prem Watsa: Yes, we look at all of those things Lewis, and we have bought stock in the past that you all go and have a look at it and you can see where we bought it, but we are, we don't of course disclose where we're going to buy it or what we're going to pay and all of that. We might someday, but not at the moment.
Unidentified Analyst : Alright thank you. Thanks for taking my questions.
Prem Watsa: Thank you very much Lewis for your questions. Laura, next question please.
Operator: Thank you. Our next question is from Markus Homor of BCK Capital. Your line is now open.
Markus Homor: Hi good morning. A - Prem Watsa Good morning Markus.
Markus Homor: Good morning. Could you give an update on the acquisition of Tower Limited in New Zealand?
Prem Watsa: Oh Tower, yes, so we made an offer as you know, you know there is a competitive offer that’s come at a higher price than us. So, we're waiting Markus, you know what the decision of the regulatory agencies will be, before we go forward to our opposite stays, we haven’t raised it and we are waiting for regulatory agencies to come back.
Markus Homor: And when do you expect that back?
Prem Watsa: Sorry.
Markus Homor: When do you expect that back?
Prem Watsa: I am not sure when, you know how regulatory agencies work Markus. I’d love to tell you when it comes, but we're just waiting, we really don't know.
Markus Homor: Okay, thank you very much for the update.
Prem Watsa: Thank you, Markus. The next question Laura.
Operator: Thank you. Our next question is from John Valentine, Private Investor. Your line is now open.
Prem Watsa: Good morning John.
Unidentified Analyst : Good morning, how are you? Thank you for taking my question. My question is on the non-insurance operations, you know from the disclosure, so from 2010 to 2016 [indiscernible] then recently in this most recent quarter that answered fairly de minims or like there is - and I'm sorry if I had missed this in your prepared remarks, but I was wondering if you can touch a little bit on our insurance businesses, how much equity has been [indiscernible] businesses and then what is your expectation for particularly larger [ph]?
Prem Watsa: Well John, you know we are building it, we disclose it for you, they are still small compared to our insurance operations. The engine Fairfax is our insurance operation. You know the fact that we provide, we’ve got, as I said with the Allied $13 billion, $14 billion of premium at US dollars, the fact that we have got an investment portfolio plus minus 39 billion of 40 billion and you get investment income from there, you get underwriting profits from the insurance operations and the combination when they work well together with investment gains is how we made an outstanding return, if I may add, over the long term for our investors. We have every - interest in every focus to a repeat that in the next five years, and we were careful - recently we were careful in terms of looking at downside protection, but we now think, as I said previously it’s a stock pickers market and that’s where we are focused. Non-insurance operations continue, wherever we see an opportunity, Cara is one. In India we are really excited that our AGM, I mentioned to you, we had our Fairfax India second annual meeting, we had all of the Presidents of them attend, I think I have talked to many for our investors there, they are quite excited about the opportunity of Fairfax, India investing in India and that’s going to be a very significant opportunity. I think we have said we have got approximately $5 billion in there and that is all the money we control, a little more than half is our own, is a direct Fairfax investment. And Fairfax India by the way, as will Fairfax Africa over time will also provide revenues for a stream of fees and incentive fees for Fairfax. You know I think at the end of the first quarter the first-time Fairfax India had incentive fees accrued, not paid. The number will be paid only at the end of the year and it will be articulated paid-in Fairfax in Fairfax India shares. So it’s not going to be in cash, but you know it is like $45 million, $50 million of accrued incentive fees, which of course would fluctuate, but it’s a stream of income that comes to Fairfax, it’s a very good return for Fairfax India shareholders and of course of our 30% interest in Fairfax, India will also benefit. So, these are widely diversified operations for Fairfax, but our core is still very much insurance and property casualty insurance and reinsurance.
Unidentified Analyst : Thank you very much for the comments. It was very helpful. I was just - and with respect to the payment and what goes on non-insurance operations [indiscernible] I guess what will be included in that and then if - how much equity is allocated there, you know for Fairfax India [indiscernible], a portion of that might be still recorded in top core right now?
Prem Watsa: Yes. John it is all in our quarterly statement, by Dave if you can highlight for John.
Dave Bonham: Yes, so in terms of the amount of equity that we have invested, about midway through our annual report we presented a segmented balance sheet and in there is a column for the other segment and that will show you how much equity we have invested in some of these other businesses. And in our interim report on Page 42, we break it out in a little bit more detail for you between restaurants and retail, Fairfax India, Thomas Cook, and other, and there is swift notes there, so it will tell you what’s in there in the likes of Cara and St-Hubert , The Keg, Praktiker, William Ashley, various businesses like that.
Unidentified Analyst : Thank you, Dave.
Prem Watsa: Thank you very much for your question John. Laura, next question please.
Operator: Thank you. Our next question is from Mikel Abasolo of Solo Capital Management. Your line is now open.
Mikel Abasolo: Yes. Thank you very much again for taking my question. This is only one question, very quick one. I understand that last November you changed the positioning and the strategy for the portfolio and that resolved the economic inspired equity hedges, and now you are - the shortages that you are running are more bottom [indiscernible], but I was wondering if on average the effect might be somewhat similar and I wanted to ask you about your net equity long exposure or long minus short, whether you intend to play short individual names going forward, so that the final effect is probably not that you are just paying so much offence and perhaps you are offence is somewhat muted for the time being until the valuations don't moderate. Thank you very much.
Prem Watsa: Yes, thank you very much for your question. So, what we did say was that we are basically having a long export after we took our hedges as you pointed out, and a new administration came in for all of various reasons we have discussed, we are looking long, but you will notice that we have 5% or 6% secured bond and the equity position is a warrant. So, the very little we can loosen a warrant because we haven't paid anything and so we get 5% or 6% on our money and we get the upside and perhaps we’ve eliminated the downside from a stock position point-of-view. And short position, no, we will be reducing it and we continue to move forward in terms of reducing it. We did that in the first quarter and we will continue to do it over time. So thank you very much for your question, Laura next question please.
Operator: Thank you. Our next question is from [indiscernible] Private Investor. Your line is now open.
Unidentified Analyst : Hi Prem, how is it going?
Prem Watsa: Hi good morning [indiscernible].
Unidentified Analyst : Question for you, how does the Allied acquisition impact the dividend? Because we are going to be issuing about 20% more shares right, so what does that do to the dividend when it comes time to generate?
Dave Bonham: No we will keep our dividend. We will maintain our dividend at Fairfax and yes we will maintain it Junior [ph] we don't intend to change that and Allied is a very significant, you have seen the record of Allied, you have seen what they have done in the last 10 years I think perhaps a little longer. They have 10 years, they’ve reduced the share as a public company, they have reduced their shares outstanding from about 180 million to 90. That is 50% and they have increased that dividend. So it is something like I think $3.2 billion that they have given shareholders and the buyback plus dividend. So, Allied is going to be a significant profit income generator to us and we don't see any change in our dividend.
Unidentified Analyst : Okay thanks.
Prem Watsa: Thank you Junior [ph] for the question. Laura, next question please.
Operator: Thank you. Our last question at this time is from Inderjit Sidhu, Private Investor. Your line is now open.
Unidentified Analyst : Good morning Mr. Prem.
Prem Watsa: Good morning Inderjit.
Unidentified Analyst : Hi there, my question is regarding the borrowings from the non-insurance companies…
Prem Watsa: Do me a little favor of Inderjit, just a little loudly please, we can't hear you.
Unidentified Analyst : Sorry. Is this better?
Prem Watsa: Yes.
Unidentified Analyst : So my question is just regarding the borrowings from the non-insurance companies, they have gone up quite significantly and the income has stayed relatively flat, I'm just wondering what the long term prospects are of the borrowing, are they long term borrowings or are they more towards short-term financings of small capital projects? Thank you.
Prem Watsa: Yes, your question is very good Inderjit, what we have to do of course when we consolidate these companies all of that, whatever borrowings they have come in our balance sheet, but needless to say we don't guarantee it, we don't, we have no exposure to these borrowings. We just have to show it on our balance sheet because that’s the accounting convention. And so even Fairfax, India we have never guaranteed to Fairfax India's debt of Fairfax Africa has got no debt, but they are all separately financed and they are financed in a very sound way, I may add, but they are separately financed and they have no exposure to - Fairfax has no exposure to this debt.
Unidentified Analyst : Oh, I see. Okay and the quick question, is there anything in the works for ICIC being sold off anytime soon, is there any comment on that?
Prem Watsa: Yes, I have said in the last conference call. There have been on the last few months, four, five months, there have been many media and analyst records with respect to a 1 billion sale of a portion of our 35% stake in ICIC Lombard and to [indiscernible] an application by us with an Indian partner of our new insurance license in India. And these reports have noted public that if these new license were issued, we would be required to own no more than 10% of ICIC Lombard. At our AGM recently, we have confirmed that we have applied for a new license Inderjit, so I can count on that. But other than that we have nothing more to add Inderjit.
Unidentified Analyst : Okay, thank you very much.
Prem Watsa: Okay, thank you very much for your question. And Laura any more questions?
Operator: At this time, speakers there are no questions in queue.
Eric Salsberg: Well if there are no more questions, thank you all for joining us on this call. We look forward to presenting to you again after the next quarter. Thank you, Laura.